Operator: Good morning, and welcome to the First Quarter 2023 Pilgrim's Pride Earnings Conference Call and Webcast. [Operator Instructions] At the company's request, this call is being recorded. Please note that the slides referenced during today's call are available for download from the Investors section of the company's website at www.pilgrims.com. After today's presentation, there will be an opportunity to ask questions. I would now like to turn the conference call over to Andy Rojeski, Head of Strategy, Investor Relations and Net Zero Programs for Pilgrim's.
Andy Rojeski: Good morning, and thank you for joining us today as we review our operating and financial results for the first quarter ended on March 26, 2023. Yesterday afternoon, we issued a press release providing an overview of our financial performance for the quarter, including a reconciliation of any non-GAAP measures we may discuss. A copy of the release is available on our website at ir.pilgrims.com, along with the slides for reference. These items also have been filed as Form 8-K and are available online at sec.gov. Fabio Sandri, President and Chief Executive Officer; and Matt Galvanoni, Chief Finance Officer, will present on today's call. Before we begin our prepared remarks, I would like to remind everyone of our safe harbor disclaimer. Today's call may contain certain forward-looking statements that represent our outlook and current expectations as of the day of this release. Other additional factors not anticipated by management may cause actual results to differ materially from those projected in these forward-looking statements. Further information concerning these factors have been provided in yesterday's press release, our Form 10-K and our regular filings with the SEC. I would now like to turn the call over to Fabio Sandri.
Fabio Sandri: Thank you, Andy. Good morning, everyone, and thank you for joining us today. For the first quarter of 2023, we reported net revenues of $4.17 billion, which was slightly below the same quarter last year. Our adjusted EBITDA was $151.9 million with margins of 3.6% compared to 11.8% last year. Our overall portfolio of geographies and business demonstrated its resilience over the last years. During this time, we experienced all-time highs as well as near-record lows in commodity values. We've also faced dramatic inflation throughout our supply chain, including grain inputs, labor and utilities, along with other distinct challenging economic conditions in each of our regions. To mitigate these challenges, we've also consistently driven our strategy of key customer focus and operational excellence. Our businesses were able to capture the benefits of exceptionally favorable markets while minimizing the impact of extremely adverse market conditions. As a result, we can generate a more resilient earnings profile over the long term. Throughout Q1, our strategies demonstrated their criticality as our overall business -- in each region improved its profitability relative to prior quarter in a very challenging environment. In our U.S. business, diversification with small bird and case-ready, along with our branded offerings in Prepared moderated the impact of depressed commodity cutout values. In addition, our key customer strategy was instrumental in driving improvements in our production volumes and in our supply chain. In the U.K. and Europe, our focus on operational excellence and the restructuring of our manufacturing network helped us increase production efficiencies. These efforts were extended beyond our production locations as we drove synergies in our back-office support activities as well. Our innovation also continued to gain traction with key customers, further diversifying and adding value to our portfolio. As for Mexico, performance improved in supply-demand fundamentals become more balanced and inflation slowed. In addition, we continue to improve our efficiencies as we map our issues in our live operations. We also benefited from favorable exchange rates in our diversified portfolio as both our fresh and branded offerings grew throughout the quarter. Turning to feed ingredients. Recent USDA reports show ending stocks estimate steady at a historical tight 1.34 billion bushels. Demand has been impacted by the high prices in the first 6 months of the crop year, with U.S. exports down approximately 37% year-over-year. Domestically, core demand for ethanol was also 5% down, and feed/residual was down 7% versus the same period in the prior year. The ending stocks are expected to increase to more normal levels, depending on Brazil's second crop planting success and weather here in the U.S. and continued export flows from the Black Sea. Although critical development stages are still ahead, current weather is favorable for the large planted area in Brazil. In U.S., USDA's prospective planting report show a favorable response to the elevated prices and the corn to soybean price ratio with planting intentions of 92 million acres, and planting is well underway. With titled crops in U.S. and much time at hand, the market currently carries a relative large weather risk premium. With the confirmation of more normal conditions and with the current market scenario, we expect those premiums to reduce. Regarding soy, Q1 saw price volatility as soybean production estimates diverge across South America. Brazil is harvesting a record crop, while Argentina crop is down 19 million tons versus last year. While South America soybean production was net larger and global soybean stocks are at acceptable levels, the soybean meal supply is constrained as Argentina is dependent on soybean imports to run their crushing industry. However, tepid soybean demand from China and weak soybean meal demand outside the U.S. has kept soybean meal prices from returning to the Q1 highs. USDA prospective planting show intentions for the '23 to '24 soybean acreage of 87.5 million acres, essentially flat year-over-year. Crop conditions will be critical as we were to enter the new crop year with historical tight ending stocks of 210 million bushels or 4.8% stocks-to-use. On the wheat, globally, balance sheets have been relatively well supplied and offer alternatives for global feed grain importers. The U.S. hard red winter wheat is the main concern for Northern Hemisphere due to the lingering dry conditions, while EU wheat conditions are promising, much like corn and operational Black Sea export corridor should be mentioned before, beyond mid-May. In the first 3 months of 2023, ready-to-cook production on the U.S. chicken experienced an increase of 3.4% relative to Q1 2022. The more substantial year-over-year growth occurring in January before slowing in March in recent weeks. Growing first quarter headcounts were bolstered by year-over-year improvements in hatchability in late 2022, supporting mild chick placements increased during the same period. Considering more recent trends, the rate of industry excess has slowed, and it has been flat year-over-year. The industry's hatching rate has declined year-over-year despite our own improvements. Taken together, aggregate chick placements over the trailing month has remained relatively flat year-over-year to negative numbers on recent weeks. And the [indiscernible] 2023 outlook indicated lower growth for Q2 and a decline in production during the second semester of 2023. On the cold storage, reported USDA inventories indicated an 8.3% reduction from the end of 2022 throughout the end of March, bringing inventories back near the 5-year average after seeing some rapid buildup towards the end of 2022. When analyzing the overall supply of protein, the USDA maintained the expectation of reducing domestic protein availability . This outlook includes the growth of chicken during Q1 and the growth of turkey production after the AI events of last year. When factoring all of the red meat supply, USDA expects a decline in the availability, primarily due to the contracting U.S. beef production of 4.5%. As for pork, availability is expected to remain flat in the U.S. year-over-year. U.S. domestic demand showed mild growth in the first quarter of 2023. The retail channel experienced stable volumes sold, albeit at higher sales prices. In the fresh department, steadily increasing promotional activity provided volume support, enabling sales volume to remain on par with a year ago, while still maintaining elevated dollar sales. As a result, chicken was able to grow both volume and dollar share in the meat category over the past year, demonstrating its remarkable resilience despite a trend of reduction in unit purchases among consumers. Overall, frozen dollar sales grew on mild volume declines. However, we see divergent trends for the frozen value-added and the frozen commodity categories. Dollar sales for the frozen value-added category continued to trend positive as both increased volumes and higher price. Meanwhile, the opposite remains true for the frozen commodity category as declining dollar sales were the result of significant volume declines that were not offset by year-over-year price increases. From a location standpoint, the deli emerged as the fastest-growing location for chicken as it simultaneously grew in price and units. Equally important, it increasingly became a destination for shoppers as the number of deli chicken trips increased 2.5%, a considerable increase relative to the same period last year, reflecting a broader consumer trend to seeking affordability and convenience. We are encouraged by the potential of the retail channel, given the continued tightening of competing proteins and above average wholesale markup for chicken. As such, retailers can further drive promotional activity to gain momentum with consumers who are looking for more affordable protein options, especially in this inflationary environment. The foodservice category also showed increased demand. Throughout the first quarter, foodservice demand grew volumes of 7% as both QSR and foodservice restaurants experienced year-over-year growth. Consumer traffic has been stable, but we have seen more promotions of chicken items. In the commercial segment, those promotions have generated volume growth of nearly 5%. Raw wings, tenders, legs and dark meat have experienced an exceptional rebound as all have grown volume double digits. Value added tender strips and legs have also enjoyed a strong growth rate. The noncommercial segments continue to grow towards the pre-pandemic levels, with volumes year-over-year increasing nearly 12%, led by the business and industry and the lodging segment. As workers increasingly return to the office, we expect these segments to continue to increase. On the export, we see demand is increasing strongly for U.S. chicken after posting year-over-year growth in early 2023. Through the first 2 months of Q1, export volumes were at an all-time high with 3.3% growth year-over-year. Year-to-date, export performance has also enabled cold storage inventories of dark meat to reduce significantly since the end of 2022, with February volumes 21% below December. We expect this inventory trend to continue for 2023 as export supply chains continue to improve. Regarding the prevalence of high path AI in the U.S., this continues to be of great concern to all industry participants. However, the number of total birds depopulated since the beginning of 2023 is less than 1 million, and the last reported case found in the commercial broiler flock was mid-February. Most of our trading partners are also responding by lifting the high path AI trade restrictions in accordance with our agreement with mainly greatly reducing their restrictions from state to county level and some to zones as well as following the World Organization of Animal Health guidelines of limiting bans to 28 days both clean and disinfected. With the exception of China, -- this easing and lifting of restrictions are also aiding the industry record export performance. We have yet to make headway with China on releasing states from high path AI restrictions, even as all the parameters for lifting this ban have been met. Our geographical and channel diversification in U.S. continues to benefit our exports, allowing us to access over 80 markets globally including China. Our U.S. business continued to adjust to these prolonged challenges in commodity supply and demand fundamentals. While market dynamics improved throughout the quarter, January was exceptionally difficult, given elevated grain costs and significantly low market prices, especially for breast, meat and wings. Our big bird business was the most impacted by these conditions as revenues and profitability continue to suffer. Nonetheless, the business improved each month throughout the quarter given enhanced fundamentals and intense focus on operational excellence. Although significant progress has been made, substantial work remains to achieve sustainable margin levels. Our diversified portfolio across bird sizes and branded offerings moderated the impact of these challenging conditions. In our small bird segment, we continue to improve our results compared to last quarter and last year, giving our growth with key customers, continued recovery of inflation costs and operational performance. In case-ready, our growth with key customers continued to outpace industry averages. We expect additional opportunities to accelerate this growth through increased promotional activity, improvements in mix and partnership with key customers. Our Prepared Foods business realized similar success as sales and profitability improved throughout the increased business with key customers, operational enhancements and lower raw material costs. Our fully cooked branded business continues to have strong momentum as our Just Bare and Pilgrim's offerings increased 68% year-over-year. Despite extended challenges in market fundamentals, elevated input costs and stubborn inflation, we remain committed to profitable growth in our U.S. business. Our expansion in Athens, Georgia to support key customer growth remains on track. Also, our investments to support operational excellence through automation and our new protein conversion plants in South Georgia are progressing as planned. Throughout our U.K. and Europe business, inflation continues to be at the highest level seen over the past 40 years. Despite these challenges, the chicken and pork categories remain resilient as consumers continue to shift into those categories from other proteins. These categories' benefit are further amplified by our growth with key customers as we have outpaced channel averages in both retail and foodservice. From a supply chain standpoint, the team continues to mitigate costs through operational efficiencies and cost recovery. Overall demand across our total portfolio has remained relatively stable across both branded and private label offerings, even as cost increases have been passed through the shelf to our menu. The team continues to drive growth through innovation with both customer and branded offerings. Moy Park recently became the supplier of choice for a key customer, involving a dedicated brand with distinct animal welfare standards throughout our entire supply chain. Our Pilgrim's Food Masters team have continued to drive and expand usage through flavor and packed formats, innovations in the Fridge Raiders line. In addition, the Richmond brand continues to increase share for its recent introduction of meat-free liner. The team has made significant progress in operational excellence throughout our network optimization, given the substantial headway in the consolidation of our production facilities. To date, we have realized margin improvements for enhanced line efficiencies, increased overhead utilization and better raw material sourcing. In addition, the integration of our back-office support activities has taken a step forward as our new shared services support center is now functional. We will continue to explore alternatives to further enhance our efficiencies and realize the full potential of the business. Progress may also be amplified by continued stabilization of input costs, increasingly steady stacking levels and enhanced market fundamentals. Pork and chicken supply demand is becoming increasingly balanced where utilities and wheat prices have recently moderated from all-time highs. Our Mexico business also rebounded solidly throughout the quarter as protein availability stabilized and our difficulties in live operation diminished. These factors were further augmented by increasingly favorable foreign exchange rates and inflation moderation. The team's branded fresh portfolio continues to perform as it grew in double digits again compared to the same period last year. Given our progress and desire to further diversify our portfolio into branded offerings, we entered 2 new brands, Unique Taste and Favorites, and we will introduce the Just Bare into the Mexican market. The performance of our branded prepared portfolio also has respectable performance given its sustained growth. We are driving promotional activity to broaden our presence in value-added and across retail and foodservice. We're continuing to invest capacity and operational excellence to drive profitable growth. Our footprint expansion in the Yucatan Peninsula remain on track, and we anticipate production to become available in the second half of this year. As part of our journey to become an industry leader in sustainability, we've expanded our efforts beyond our processing facilities, and we work with the entire supply chain to achieve our ambitious sustainability targets. As an example, in Europe, our team recently unveiled a state-of-the-art poultry farm in the U.K. This site employs a variety of innovative designs, technologies and equipment that can effectively enable the firm to be completely self-sufficient in energy and operating at full capacity. We will continue to evaluate opportunities and bring innovation throughout our supply chain across all regions. With that, I would like to ask our CFO, Matt Galvanoni, to discuss our financial results.
Matthew Galvanoni: Thank you, Fabio. Good morning, everybody. For the first quarter of 2023, net revenues were $4.17 billion versus $4.24 billion a year ago, with adjusted EBITDA of $151.9 million and a margin of 3.6% compared to $501.8 million and an 11% -- 11.8% margin in Q1 last year. Adjusted EBITDA margins in Q1 were 1.8% in the U.S. compared to 15.9% a year ago. For our U.K. and Europe businesses, adjusted EBITDA margins came in at 5.3% for Q1 compared to 1.2% last year. In Mexico, adjusted EBITDA in Q1 was 8.5% versus 16.1% a year ago. Moving to the U.S. results, our adjusted EBITDA for Q1 came in at $43.6 million compared to $411.7 million a year ago. Our U.S. big bird business was impacted by continued volatility in the commodity chicken markets. We entered the first quarter on a downward slope of the commodity market pricing. As we hit the end of January, we began to experience steady improvement in cutout pricing until we saw flattening of the curve towards the end of the quarter. Our diversified U.S. product portfolio across bird sizes and brands, along with our key customer partnerships, helped us capture the upside of the strong commodity market prices in Q1 2022, while helping us mitigate the impact of volatility in market prices in our big bird business during this quarter. In the U.K. and Europe, adjusted EBITDA in Q1 was $66.2 million versus $14.8 million in 2022. The U.K. and Europe business continues to face inflationary cost pressures. However, through its previously discussed mitigation efforts in 2022, the business has shown resiliency in its profitability growth journey. The business has benefited from the back office integration and its network optimization programs. We incurred approximately $8 million of restructuring charges during this quarter in support of the U.K. network optimization program. Mexico generated $42.1 million in adjusted EBITDA in Q1 compared to $75.3 million last year and negative $15.8 million in Q4 2022. Sequentially, the Mexican business profitability improved primarily due to more balanced supply-demand fundamentals and the diminishing of recent bird disease challenges in its live operations. Our SG&A in the quarter was lower year-over-year. Key drivers included a decrease in legal defense funding, certain lower people-related costs, lower cost in the U.K. from impacts of the back office integration and a minor amount of net year-over-year foreign exchange favorability. Also during the quarter, we benefited from the conclusion of negotiations related to both property insurance and business interruption insurance claims in the U.S. and the U.K. We spent $132 million in CapEx in the first quarter. The first quarter spending is higher on a run rate basis, primarily due to our investments in the Athens, Georgia expansion and our new protein conversion plant being constructed in South Georgia. We reiterate our commitment to invest in strong ROCE projects that will improve our operational efficiencies through automation and tailor operations to address key customer needs to further solidify competitive advantages for Pilgrim's. Although Q1 was challenging due to volatility in the U.S. chicken commodity market, our overall balance sheet and liquidity position remains strong with approximately $1.15 billion in total cash and revolver availability at the end of the quarter. And with the most recent completion of our $1 billion 10-year notes offering, we further bolstered our liquidity position. We are very happy with the results of this offering, especially given the conditions in the capital markets. Given the high demand by our investors, we were able to increase the size of our offering while maintaining an attractive interest rate. In addition to adding cash to our balance sheet, we repaid our term loan with proceeds from the offering. The offering provides us flexibility during this more volatile time in the U.S. commodity markets and allows us to explore further simplification in our capital structure, such as the elimination of subordinations with a potential unsecured structure as well as the opportunistic with potential liability management exercises with our existing debt, including possibly paying down our 2027 notes. As of the end of Q1, our net debt totaled $3 billion with a leverage ratio of 2.3x our last 12 months adjusted EBITDA, which is within our target ratio of 2 to 3x. Net interest expense for the quarter totaled $39 million. We anticipate our full year net interest expense to be between $160 million and $170 million. Our effective tax rate for the quarter was impacted by a nominal pretax GAAP loss for the quarter and the multi-tax jurisdictional nature of our business. As I noted in our February call, we still anticipate our full year effective tax rate to be between 23% and 25%. Our capital allocation approach will remain disciplined as we look to grow the company, we will continue to outline our investment priorities with our overall strategic strategies of portfolio diversification, focus on key customers, operational excellence and commitment to team member health and safety. Operator, this concludes our prepared remarks. Please open the call for questions.
Operator: [Operator Instructions] The first question comes from Ben Theurer of Barclays.
Ben Theurer: Congrats on the results. So my 2 questions, let's start off with the U.S. And obviously, there was a nice sequential improvement. And you kind of called out that January was still soft, but things got better. The question is if we look into a second and then may be a little bit of a sneak preview into the third quarter, how confident are you of the ability to drive higher profits, maybe getting that profit margin into mid-single-digit range? Do you think there's some potential just given maybe some of the grain costs on a year-over-year basis coming down? Prices seem to have started to go into the right direction. So how should we think about the onset of summer in the grilling season and PPC's positioning as to the profitability? That would be my first question.
Fabio Sandri: Of course, thank you, Ben, for the question. Yes, looking into the future, right? We need to also think about the segments that we operate. I think we've always talked about the portfolio that we have. And when analyzing Q4 and Q1, we see that the supply and demand has been in balance for the small birds and for the case-ready category. I think the segment that is suffering from an imbalance in supply and demand is the commodity segment or the big birds. Looking into the data on the Q1 increase in production, we can see that almost all of the growth occurred in that same segment in the big bird category. So what we are seeing is that a stable demand in food service and in retail, which once again has been very positive for the small bird and case-ready categories of our portfolio, but the commodity category is completely out of balance. We're seeing an increase in production, and we don't see a strong demand for the commodity segment, especially on the boneless breast and on the wings. As we are seeing the exits coming down in our industry, and we believe it is in that category because of the severe losses that the category is suffering, we will see the overall portfolio to go up. I think the main drivers for that is going to also be the grilling season, right, as we know, demand during the grilling season increases, increases both in the foodservice and on the retail front. And when the demand on the retail front increases, we can augment our offerings on the case-ready size buying meat from the big bird category. So we expect that more promotional activity on the retail, the increased demand in foodservice and on the retail during the grilling season, coupled with a moderation in the increase of production or even a reduction as USDA is expecting to put more supply and demand balance for the commodity category, which will take our portfolio higher.
Ben Theurer: Okay. Perfect. Very good, very clear. And my second question is on the European/U.K. business. It was interesting to see because I think that $8 million restructuring was still part of that U.K. business, which you've talked about in the last conference call. So just wanted to understand, where do you are right now on the restructuring? Is there still more to come and maybe the magnitude of it? And what do you think as the business normalizes as you get your production to the levels where you want to be. What's like kind of a level of operating income on a quarterly basis or annual basis, you think is reasonable for that business, just given that you acquired the Kerry business, but we never saw the business like in full swing performing properly with the legacy Moy Park plus the Kerry. So what's like that go-forward run rate? Because I remember prior to the issues, Moy Park was a very steady, stable, easy to forecast. So how does that combined with Kerry look like?
Fabio Sandri: Yes. Great point. I think there's a lot of moving parts in Europe, right? I think we do -- we were over the last year, restructuring our activities. We have some plants that have spare capacity. So we moved some of the capacity to more efficient plants. And that's what we saw on the restructuring. And that's the improvement in the results that we are seeing because we're still facing some very high inflation on that, which we need to translate into prices, and we are always behind when capturing those inflationary impacts into the prices, right? I think we also saw an increase in wheat over the last year. But now I think the benefits are also -- we are expecting are going to happen with the moderation of inflation, with reduction of the utilities reduction of wheat. In terms of the network, we're always looking into opportunities of what we can do, especially because we are combining 3 businesses. As we mentioned, there are some benefits from the back office integration as well. But we believe that the majority of the restructuring that we need to do was already done. So in terms of what we expect from this business, I think we have the clear vision of being the best operator in Europe as we have the same vision here in U.S. and Mexico. And margins in the range of 6% to 8% are with what we believe to be achieved in that segment.
Ben Theurer: That's operating, correct?
Fabio Sandri: Operating, yes.
Operator: The next question is from Ben Bienvenu of Stephens.
Ben Bienvenu: I want to ask Fabio, thanks for giving that kind of framework as we think about demand and supply moving through the summer. I want to ask about cold storage. Inventory levels are still elevated. In light of that supply-demand framework that you gave us, how do you think about cold storage levels whittling down? And how many months do you think we have before we start to see those inventories become more reasonable on a path to what sounds like a stronger back half of this year.
Fabio Sandri: Yes. Thanks. Looking into the cold storage, I think the overall levels, we saw an increase in the 2022. But I think over the beginning of 2023, we're seeing some significant decreases, right? The most impactful part on the cold storage has always been on the legs, right, or leg quarters because that's a big impact for the export. We've been seeing significant demand on the export front, and we're seeing the leg quarter inventory at record lows. The areas that we saw some increases are in the breast meat and on the wings and a category called other. I think what we believe is in this other category. It's a lot of fodder processing. So fodder processing wings or fodder process bones -- boneless breast. So when analyzing the size of that, it's almost a week of production. So it's not a significant amount. But we believe it is in this inventory. It's some fodder processors that took the advantage of very low commodity pricing to build some inventories. So the magnitude of that inventory compared to the overall consumption in the domestic market is not something that we believe will be burdensome for the market to absorb. It's more an opportunistic in our view, strategy of some fodder processing to put some wings and some boneless breasts at very nice prices into inventory.
Ben Bienvenu: Okay. That's great. My second question is on Mexico. A nice sequential improvement. You discussed kind of the snapback and fundamentals there to a more balanced level. What's your outlook at the moment on the visibility you have for that business as we move into the second quarter?
Fabio Sandri: Yes. Thank you. Mexico has been very volatile lately. And I think it's something that we always mentioned that they can be very volatile quarter-over-quarter, but year-over-year, they tend to be more stable. I think we are seeing a more balanced supply and demand in Mexico. I think we're still seeing a lot of imports from pork from U.S., from breast meat from Brazil, reaching the Mexican market. But yet, I think the industry in Mexico adapted their supply and demand to what they expect on the economy. The economy is doing better in Mexico lately. And as we always mentioned, chicken is the most resilient to the inflationary events. I think in Mexico, there was a little bit of trade down out of proteins actually during the Q4 because of the economic environment. But we are seeing that economic environment improving. And most of that operation is trading back into the protein and chicken is the entry protein in Mexico.
Operator: The next question is from Peter Galbo of Bank of America.
Peter Galbo: Fabio, I was wondering maybe if we could just get an update with regards to Athens, maybe a couple of details there. One, I think if I have it correctly, you kind of announced the expansion program around this time last year, just when you would expect that kind of to be completed and that we would start to see that showing up in the numbers? And then the second part of that is just upon completion, if you can give us a rough estimate, we've always thought about your business as 1/3, 1/3, 1/3, but between kind of the 3 segments. Just upon completion of that, where small bird will kind of land as a percentage of your overall U.S. mix?
Fabio Sandri: Yes. Thank you, Peter. Yes, so the Athens project is really important for us because it is to support the key customer growth, right? We always mention about our strategy of growing together with our key customers. The -- we are expecting to increase around 20% on our small bird category with that plant. 20% in Athens with that expansion. So it's one extra line that we add there. It's not going to change considerably our portfolio. So it would be a little -- some points into the small bird category for us. I think the most important part is to continue to evolve our portfolio to something that is more profitable, more stable and allow us to grow in connection with our key customers. We expect -- sorry, we expect -- I think we announced during July last year, and we expect that plant to start running in Q4 this year.
Matthew Galvanoni: Yes. Most -- Peter, most of the benefits will start seeing more beginning of next year because as we ramp up in Q4, it will just take a little bit of time. But by Q1, we'll be seeing the -- sorry, should be seeing the full benefits of that expansion.
Peter Galbo: Got it. No, that's helpful, guys. And maybe just to go back to Ben Theurer's question. U.S. in 2Q. I just want to make sure that we're kind of all on the same page here. You're expecting U.S. operating profit to be positive, I would imagine, in the second quarter. And then if I can just get you to comment, consensus for the second quarter right now is around $250 million of EBITDA. Just any comment you could make there on how you think -- see things shaping up relative to consensus in the quarter.
Fabio Sandri: Sure. I think we're seeing all the positive drivers in the market, right? We're seeing the industry reducing production. We are seeing some more demand in terms of retail with more feature activity and on the foodservice as we go to the grilling season. So the drivers are there, and we expect that to be in line with those expectations.
Operator: The next question is from Adam Samuelson of Goldman Sachs.
Adam Samuelson: So maybe coming back on the -- just the seasonal kind of improvement that we're seeing in boneless breast. And I guess I would just maybe push back or kind of test a little bit. I mean, we're sitting here at the end of April, prices have kind of stalled out for a couple of weeks and pressing pricing around $1.40 a pound. Obviously, that's considerably better than the lows you saw in December and January as it should be at this time of year. And so just relative to where things were last year at this time relative to industry production, which I know I mean more of the production increase is in big bird, but industry production on a year-on-year basis is still -- has now slowed down relative to where it was several months ago. So just help me think about kind of -- it still seems like a pretty sluggish kind of demand environment for boneless breast and that reflecting just weaker food service, kind of further processing demand, just lack of pull-through of incremental boneless breast into retail for tray-pack at this point? I'm just trying to make a sense of seasonally the magnitude of the increase that we're seeing has not been that significant. And I'm trying to just reconcile that with your point that demand generally seems pretty good.
Fabio Sandri: So yes, I think you hit the correct drivers, right? So looking into the supply, we're expecting the increases to moderate and on the second semester to actually last year increases are bit down year-over-year. So in terms of supply, we're expecting a reduction compared to last year on the second semester. And we can't forget that at this same time last year, with the same production and sufficient demand for sure, we see some record pricing in boneless breast and also on wings. So we are expecting similar conditions to last year in terms of supply and demand. Of course, we're coming from a very low -- much lower price point as last year. But again, the fundamentals of supply and demand continue. I think you hit the right point. It's more feature activity from the retailers as we are seeing retail pricing is record high and much higher than the same time last year, which is refraining the consumer to increase its spending. They're spending more in dollars, but not a lot more in pounds. So we expect that to change with more promotional activity, especially as we are seeing the pricing of the other proteins to go higher as we are seeing lower production for both beef and pork on the second semester. So we expect more promotional activity on the retail. You mentioned the foodservice as well. We're seeing a lot of promotional activity being expected for the QSRs, especially on the second semester of this year, again driven by the lower availability of other proteins, especially beef and higher price. So we expect more demand there as well. And on the -- we call it industrial segments, it's the fodder processors. We saw some slowdown, especially because of the same factors on the retail, higher pricing, not creating a lot of demand. We saw some industrial category to also be flat year-over-year, and we expect that to resume during the second semester. So when looking into the excess and chicks place, we are seeing some moderation actually some negative numbers compared to the same period last year, and we're seeing some strong signals of improving demand. That's why we believe that there is some good perspectives for the boneless breast. On the wings side, I think it's the lingering and the lower price has been a lot longer than we expected. Usually wings rebound much faster than what's happening this year. But I believe that we're seeing more and more wings going back to the menu. I think what impacted the wing pricing was during last year shortages and higher prices, we saw a lot of foodservice to take wings out of the menu, and we're seeing those wings coming back into the menu, and we're seeing more promotional activity from the wing concept -- foodservice as well.
Adam Samuelson: Okay. And then just maybe come back, I think in response to an earlier question, you talked -- I thought I heard you say a 6% to 8% kind of operating margin in Europe was kind of where you thought the business could get to? And if I missed it, I apologize. Did you say a time by which you thought you could get there? And maybe as a related point, how would you frame -- I mean, given a lot of the changes in portfolio and mix that you kind of accomplished over time and understanding it's volatile, how would you frame that kind of margin potential of the U.S. business over time?
Fabio Sandri: Yes. I think Europe is a more stable business when we look into the history. So that's why it's easier to talk about some expected margins, right? So we look at the reinvestment level, we look at our portfolio, right, we have beef, pork and prepared foods, we are well balanced there. So there is a lot of portfolio that we can talk about to differentiate ourselves to the competitors in Europe and do a better job of being a partner to the key customers. So that's why it's easier to talk about the results in Europe. Of course, we expect that to be more towards Q4 and next year as we see those inflationary impacts moderating to a more normal level. I think as we mentioned, we have a lot of -- and if we look at our portfolio of contracts, is also important. We have a lot more contracts in Europe that are cost plus. I think we've mentioned before that a lot of those that we believe were cost plus was more feed and grain plus because there was not a lot of inflation in the other areas as packaging, utilities and labor. And we already moved all those contracts to a more holistic view of whole costs to be cost-plus. That's why it's easier to talk about expected margins in Europe than in U.S. In U.S., we have our portfolio. And as we saw the volatility in the commodity segment has been extreme, right? All the other segments in the U.S. on the prepared foods, small bird, case-ready, fresh food services has been very stable. But the volatility in the commodity segment has been extreme over the last 2 years, right? And we saw record high prices last summer, and we are seeing some very significant low prices during Q4 and Q1. That's why it's more difficult to talk about the expected profitability in the U.S.
Adam Samuelson: All right. Worth a shot. I appreciate the color.
Matthew Galvanoni: Thank you, Adam.
Operator: The next question is from Andrew Strelzik of BMO.
Andrew Strelzik: I wanted to go back to the U.S. chicken margins and try to put together all of what you just said. So it sounds like demand is good, supply is going to be lower and feed costs, at least on the forward curve, are coming down. So -- and I understand what you're saying about the grilling season. But when we get post the grilling season, if I take those 3 things together, are you anticipating that kind of your all-in portfolio in U.S. chicken margin would be back to normal levels? And if not, I guess, what would it take to get that back there from -- based on your expectations?
Fabio Sandri: So yes, we expect that to be back to what we used to see in the past or normal levels. As I mentioned, looking into our portfolio, and we are well balanced, but the commodity segment has been extremely volatile. And that's the segment that we expect to stabilize over the next quarters. The small bird and the case-ready business has been stable year-over-year. And actually, we're seeing some nice improvements in our Prepared Foods offering. For that to happen, once again, we expect more -- or normalization on the demand side, especially in that segment of larger birds and more future activity on the retail side and a lot of more promotions of chicken and chicken sandwiches in the foodservice.
Andrew Strelzik: Okay. Great. That's helpful. And then my other question is just on how you're thinking about the fee cost side with backwardation, particularly on the corn side. Are you thinking of maybe getting more aggressive locking those in? Do you feel like you're in a good position to continue to let that ride? Any kind of change in your approach as we get to potentially more favorable feed cost environment?
Fabio Sandri: Yes. We're always looking into the market and the drivers to establish a position more or less aggressive, right? What we are seeing, the indication today is a good acreage. I think the high prices that we saw, especially on corn worked and we saw some record acreage or planting intentions here in U.S. I think it's all going to be depending on the weather, as usual. The crop is actually evolving really well right now. The planting is going ahead of the 5-year average. So we're seeing some good conditions on the crop. I think there's also a change in the weather patterns from the La Nina to El Nino, which typically brings good weather for the planting here in the U.S. We're starting from a very tight carryout. But we expect with normal yields and with the acres that we are seeing in USDA planting intentions, a much better stocks-to-use ratio and a much better carryout for the next crop. Of course, that will impact more the end of Q4, beginning of Q1 as there is a lag between refeeding the birds and the birds being processed. So we expect that benefit to be late Q4 and beginning of Q1. But there is some very positive perspectives in terms of the grain cost for our operations.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Fabio Sandri for closing comments.
Fabio Sandri: Thank you again. Although we faced exceptionally difficult market conditions, our strategies of diversification, key customer focus and operational excellence are designed to mitigate these challenging transitory issues and cultivate long-term profitable growth opportunities. Throughout Q1, these strategies were once again affected as we drove improvements across all regions despite depressed market pricing, elevated input costs and continued inflation. Moving forward, we will continue to drive these strategies, along with unwavering commitment to our values and our team member wellbeing. Given continued focus on relentless execution, we can further cultivate competitive advantages for our business, enabling a better future for all of our team members. Thank you for joining us today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.